Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Ovintiv's 2022 First Quarter Results Conference Call. As a reminder, today's call is being recorded. At this time all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] Please be advised that this conference call may not be recorded or rebroadcast without the expressed consent of Ovintiv. I would now like to turn the conference call over to Mr. Jason Verhaest from Investor Relations. Please go ahead, Mr. Verhaest.
Jason Verhaest: Thank you, operator, and welcome to our first quarter 2022 conference call. This call is being webcast and the slides are available on our website at ovintiv.com. Please take note of the advisory regarding forward-looking statements at the end of our slides and in our disclosure documents filed on SEDAR and EDGAR. Following prepared remarks, we'll be available to take your specific questions. Please limit your time to one question and one follow-up. I will now turn the call over to our CEO, Brendan McCracken.
Brendan McCracken: Good morning. Thank you for joining us. Quite a lot has happened since we reported our year-end results. Commodity prices have increased significantly due to unfortunate geopolitical events and continued supply chain disruptions across the globe. We're disheartened by these events and hope that they resolve as quickly as possible. Our team is dedicated to responsibly producing our barrels and BTUs to provide the world the energy it needs. I'd like to kick off by covering some of today's key highlights. Our strategy is continuing to lead to strong returns on both the capital we are investing and the cash we are returning to our shareholders. We're delivering those returns while continuing to strengthen the balance sheet drive ESG progress and generate leading capital efficiency. We are once again raising our base dividend. This 25% increase marks the third raise in the last 12 months and reflects the structural cost reductions and efficiency gains we've made in our business to drive our breakeven price lower and unlock a higher sustainable dividend. We are also confirming the doubling of our shareholder return starting October 1st. We are making tremendous progress on reducing debt and want to solidify the timing of our cash return inflection. This plan sets us up to deliver $1 billion of cash returned to our shareholders this year. With that said, debt reduction still continues to be a key priority, and we have line of sight to achieving $3 billion of net debt in the third quarter. We're also making progress on our absolute debt and issued notice to redeem the entire principal amount of our outstanding 2024 notes, roughly $1 billion in total. In addition to financial and operational excellence, we're proud to continue to demonstrate leading ESG performance. Yesterday, we published our 2022 sustainability report, which highlights strong year-over-year progress across a wide range of key performance metrics and marks our 18th consecutive year of transparent ESG reporting. Finally, we're maintaining an intense focus on capital efficiency. Our 2022 outlook is robust and the team is continuing to drive innovation to offset inflationary pressures seen across industry in the broader market today. Our 2022 plan is set to deliver about $5 billion of cash flow at a price deck of $100 WTI and $6 NYMEX gas. We're committed to capital discipline. We're reinvesting less than 35% of this cash flow, allowing us to utilize the remaining 65% plus for dividends, buybacks and debt reduction. And while we've increased our capital guidance to align with our current expectations for cost inflation and to keep our high spec equipment and preferred crews running for the remainder of the year, our 2022 plan still ranks among the top of our peer group in capital efficiency. Greg will speak more to this later in the call. Given our significant 2022 cash flow profile, we want to provide clear and transparent timing for our upcoming shareholder return increase. We will double our returns to 50% of after base dividend free cash flow starting on October 1st. Over time, this return profile has upside potential as we continue to deleverage and take costs out of the business. Today, our actual second quarter annualized cash return yield is approximately 6%. We're doing this well. We continue to rapidly reduce net debt. This metric almost doubles to 10% as we move to our 50% shareholder return distribution and jumps to 18% if you remove the impact of hedges. I'm excited to highlight that this 18% cash return yield is attainable in the near-term as our hedges roll off and this return outpaces both the industry and broader market offerings. A strong driver of our go forward cash return offering is a refreshed hedge profile. Today, our first half 2023 hedge book is complete and equates to about 20% to 25% of production while also providing upside participation north of $110 WTI and $7 NYMEX gas. This revised approach is set to deliver significant cash flow expansion in 2023 and allow us to return significantly more cash to shareholders on a go forward basis. Despite a few headwinds in the quarter, we delivered solid results, generated significant free cash flow and directed a substantial amount of cash to shareholder returns. We generated more than $1 billion of cash flow, along with free cash flow of $592 million. We returned approximately $123 million to our shareholders or 38% of our fourth quarter 2021 free cash flow through the combination of share buybacks and our base dividend. Through the quarter, we largely offset growing inflationary pressure on capital. This is something we've been intensely focused on mitigating for the better part of last year. On the production front, we produced 500,000 BOEs per day, above the midpoint of guidance, and we came in above our guidance range for natural gas, and we are within the range on total liquids. We also saw very strong realized pricing across each of our products. On oil and condensate production, our oil and condensate production was slightly below our guidance for the quarter. We lost roughly 3,500 barrels per day from a combination of higher Canadian royalty rates, which are directly correlated to higher commodity prices, operational delays and weather disruptions. With that said, our 2022 plan remains strong and we expect our production profile in the second half of the year to match our original plan. Our substantial free cash flow generation, declining leverage profile and near-term inflection to higher shareholder returns continue to differentiate us as an investment opportunity. I will now turn the call over to Greg to talk about our operational highlights.
Greg Givens: Thanks, Brendan. I'd like to discuss our thinking on our capital guidance. While many of our peers increased their stay-flat capital budgets by 15% to 20% last quarter, we were alone in maintaining our original 2022 guide. We came into 2022 anticipating over 10% inflation, but we had line of sight to ongoing efficiency gains that would fully offset that. Our team did a great job delivering on those efficiency gains and we were largely successful in Q1 at offsetting inflation. Towards the end of Q1 and into Q2, we've seen inflation step up past our original expectations. This incremental inflation has been largely driven by higher commodity prices, global geopolitical events and supply chain disruptions. This has led us to update our full year capital guidance to $1.7 billion to $1.8 billion with the large part of this additional capital directly tied to inflationary pressure on commodity-based items such as steel-related costs, diesel and labor. Additionally, we are adding a modest amount of capital to this year's plan exclusively dedicated to keeping our high spec equipment and Simul-Frac spreads running through the end of the year and into 2023. Operating faster and more efficiently has never been more important. Therefore, in order to take care – in order to maintain our industry-leading operational edge, we are taking a proactive approach to retain the high quality equipment and crews necessary to generate our leading efficiencies. Just like our original budget, the capital spend is weighted to the first half of the year. We will spend approximately 60% of our capital in the first two quarters on high working interest, long lateral developments. These wells will come online later in the second quarter and early in the third quarter, increasing our production in the back half of the year. In the second half, we will shift to lower working interest developments, including the B.C. Montney to spend the remaining 40%. You should think about our program of 60% of the capital in the first half with 60% of the wells coming online in the second half. This capital and production profile is unchanged from our original budget. At the end of the day, this revised plan still represents an industry-leading capital program and reflects approximately 12% of incremental inflation compared to last year's results. We have also updated our full year oil and condensate production guidance to 180,000 to 185,000 barrels per day, a modest 1% lower at the midpoint than our original guide. This is the result of a combination of higher royalty rates in Canada tied to higher commodity prices, weather impacts in the first half of the year and some minor sand logistics delays that pushed back first quarter turn-in lines timing in the Permian. Our 2022 program continues to rank top tier amongst peers, whether you look at it on a dollar per BOE basis or on a dollar per barrel of crude and condensate. Our proven track record of industry-leading efficiencies and strong culture of innovation are differentiating in today's volatile commodity and macroeconomic environment. The implementation of our new Permian on-site wet sand storage system last quarter is a perfect example of our innovation in action to quickly adapt to today's supply chain and logistics volatility. In order to overcome sand hauling delays that we were experiencing, we applied a new approach to sand storage on site. This resulted in a new completion efficiency pacesetter for the company. By combining the use of Simul-Frac operations, our local sand mine sourcing and this new system, we completed over 5,400 feet of lateral and pumped over 16 million pounds of sand in a single day. This new approach effectively reduces sand hauling is the critical path for efficient completion operations. In the Anadarko, we successfully delivered a very high completion efficiency as well and brought online four 15,000-foot laterals, which are some of the longest laterals drilled to date in Oklahoma. Finally, we continue to set records in the Montney. This past quarter, we drilled our fastest Pipestone well ever with an average drilling speed of over 2,150 feet per day. We have also started receiving some of our permits in British Columbia and have resumed drilling and completion operations. Although reducing well costs in today's environment will be difficult, our mentality of never being satisfied with today's operational execution and continuing to achieve pacesetter performance will be foundational for achieving lower costs in the future. I also want to provide you an update on our successful transition to longer laterals across our portfolio and especially in the Permian. Longer laterals are one of the keys to our capital efficiency. Our first quarter Permian wells averaged just over 14,300 feet, a new record. In addition to drilling and completion operational execution, we've been successful at enhancing our production and artificial lift techniques to effectively produce these longer lateral wells. This has resulted in consistent normalized production rates across our acreage position. I'll now turn the call over to Corey.
Corey Code: Thanks, Greg. The work that Greg's team is doing to combat cost inflation across the board and the outstanding efforts of our marketing team to secure market access and diversity for our products is translating into significant margin expansion. Year-over-year, we saw about 90% of the higher commodity prices preserved as margin expansion before hedges. Our first quarter average unhedged realized price for the oil and condensate was 99% of WTI, while our unhedged realized natural gas price was 94% of the NYMEX benchmark. Our realizable margin has also increased to 70% from 61% this time last year. This margin includes our G&A and operating costs and underpins the efforts we've been making to not only capture but increase margins in our business. The blocking and tackling we're doing across the business to drive margins and cash flows, increasing our financial strength and accelerating our pace of debt reduction. These structural enhancements deliver growing shareholder value in the form of a sustainable and increasing base dividend and a doubling of shareholder returns later this year. As I mentioned, our financial strength continues to improve at a rapid pace. Since the end of the quarter, we've seen the reversal of some working capital items. And as of the end of April, we had a cash balance of approximately $680 million, taking net debt down by about $400 million to $4.1 billion. This represents a reduction of more than $3 billion or more than 40% from the second quarter of 2020. The rate of change has been impressive. We are investment grade rated by all four rating agencies. We recently renewed and extended our credit facilities out to July of 2026. And with the redemption of our 2024 notes, our debt maturity ladder is very attractively positioned. While we expect to reach our $3 billion net debt target in the third quarter of the year, we don't see this as a stopping point for debt reduction. We are taking a prudent approach to managing our balance sheet and we see continued benefit to the organization from further deleveraging. We're highly cognizant of the ongoing need for resiliency in our business, and we're committed to preserving our financial strength over the long term. I'll now turn the call back to Brendan.
Brendan McCracken: Thanks, Corey. We believe we have a responsibility to reduce our environmental impact while we produce safe, reliable and secure supply of the products that make modern life possible. Yesterday, we published our 18th consecutive sustainability report, which showcases how the efforts of our team are delivering strong results across our key performance metrics. I'll take a moment to cover a few of the highlights. We dropped our GHG emissions by 24%, we've now lowered our methane emissions by 50%, and we fully eliminated routine flaring, and we reduced total flaring and venting by 43%. Our spill intensity is down by 25% and we are very proud to have recorded our eighth safest year ever. We believe that every day presents an opportunity to innovate and make improvements. Our high standards for ESG performance have been embraced by our teams and are a key element of our commitment to operational excellence. We're delivering on every aspect of our strategy. We continue to reduce net debt, drive efficiency gains generate significant free cash flow, deliver superior returns on our capital invested and return significant cash to our shareholders, all will make a meaningful ESG progress. The competitiveness of our multi-basin, multi-product portfolio and the agility of our operations offer multiple pathways to deliver the best corporate outcomes and drive those superior returns. We're one of the most efficient operators and we are intensely focused on making sure that this capability translates into value for our shareholders. With the latest increase to our base dividend and the upcoming doubling of direct shareholder returns we’re set to return a $1 billion of cash directly to our shareholders this year. This represents a compelling cash return yield for our investors. And we see this growing substantially as we look into 2023. Our performance is the result of a world class team, a high quality portfolio of assets, a unique culture of innovation, teamwork, and discipline. This concludes our prepared remarks operator are now prepared to take questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment for your first question. Your first question comes from Neil Mehta with Goldman Sachs. Please go ahead.
Neil Mehta: Good morning team. And thanks for the update here. I wanted to start on the inflation point. Can you just break down how much of this is due to materials, versus equipment versus labor? And as you think about 2023 recognizing we're still over six months away, how much of the inflationary forces that we're seeing this year carry in to forward years in your view if normalized?
Brendan McCracken: Yes. Thanks Neil. So obviously this is a space where we've done a lot of work recently. Really the majority of the inflation that we're pointing to today is in the categories that you just mentioned there. So steel, fuel, trucking, and labor. Those are the pieces that are showing up and resulting in the increased capital guidance that you see today. We came into the year with high confidence that we could offset over 10% inflation with the efficiency gains that we saw occurring in the business. As a result, we were the only E&P that didn't bake in an increase year-over-year in capital, and we've successfully offset that inflation in the first quarter here. And really what we're seeing is the higher commodity prices than our original guidance and the global impacts in the supply chain are just setting inflationary pressure higher in those categories, steel, fuel, trucking, and labor than we had anticipated. And so that's been the big driver. I think as you look out through the rest of the year into 2023, it's obviously a bit early to make any sort of call on 2023. But clearly what we've tried to do is get out ahead of it and be very transparent with the market on how we see it unfolding over the rest of the year.
Neil Mehta: Okay. That's a good perspective. And the second is a little bit related to the catalyst pass for the stock. In the last five days, we've seen quite a draw down in the share price even on a relative basis, even though it's been a very good last couple of years. So just talk about when you see yourself in a position to get more aggressive around share repurchases of the degree that this is valuation dislocation. I think it's when you get to that $3 billion in net debt. And then also any update around S&P inclusion that could increase generalist interest in the story? Thanks again.
Corey Code: Yes, thanks Neil. So clearly we don't control the valuation directly, but what we do control, of course, is our strategy capital allocation and our execution. And so that's why we've taken a fair bit of time today to outline the value proposition that is firmly intact here. We're delivering more free cash flow, more cash returns than what we guided to in February. Some 80% of the price increases flowing directly through to our free cash flow and to shareholder returns. And that's a metric we keep a close eye on.  I think the $1 billion of cash return that we've outlined this year, as you look out into 2023, is said to be well in excess of $2 billion, as we look out into 2023 if prices hold. And so we're pretty excited about that. And we're excited about what that means for the value proposition for shareholders and the valuation of the equity. Just quickly on the S&P, this continues to be one that we're keeping an eye on. We don't control inclusion at all directly, but obviously we'll need another quarter under our belts to get a positive earnings back after the mark-to-mark loss impact in the current quarter.
Operator: Your next question comes from Neal Dingmann with Truist Securities. Please go ahead.
Neal Dingmann: Good morning. Maybe just a follow-on maybe question for Greg on OFS inflation and logistics, and a little bit let me just asking Greg, could you all speak to your future OFS contracts? I know when we met, you guys continue doing a great job there. And I guess my main question is maybe not just on the inflation, but more on logistic. Given you all running that type of program, the pre-Permian, and two rigs and the other three areas. It's obviously always more challenging with logistics when you are trying to time completions and different things. So I'm just wondering, is it just longer term contracts to give you both – again, either rigs and fracs, to give you the confidence of that, or what are you all able to do to ensure more on the timing that these things get completed on time, such down on the road?
Corey Code : Neal, thanks for your question. And that is something we spend a lot of time working on and that's why one of the reasons we updated our guidance this quarter was, we find it – we very important to secure the high quality equipment and crews that we need to execute on our programs. We do think our ability to execute is one of our differentiating characteristics. And so we have longstanding relationships with our suppliers of both steel, and of the rigs and the crews that we use. And we enter into a variety of different types of contracts to ensure we have access to those crews. As we've talked previously we've worked real hard to take the white space out of the schedule. But what that means in a year like this, where we are continuing to get more and more efficient, we create a little bit of white space towards the end of the year. And that's why we make sure that we have got the activity and the contracts in place to secure that equipment for next year. So we feel like we have the crews we need, the equipment we need. And we're working to ensure that all of that's working together to deliver this year's program and set us up well for 2023.
Greg Givens: Neal, just before you go to your follow-up, the point I'd just add to Greg there is in addition to being well positioned with the equipment crews and materials we need for the year that that gives us the confidence, I just want to pick up another point Greg made in the prepared marks that on a percentage basis, we've got 60% of our turn-in lines coming in the second half of the year, which is really what's going to drive that higher production profile in the back half of the year. And so that's really what's giving us the high confidence on that delivery.
Neal Dingmann: No, that's a great add on. And then maybe just my follow-up, maybe better for you or Corey mostly I'm just wondering on natural gas opportunities. Specifically, could you speak to, I was looking at, your Slide 23 that shows some of the details on the EFT, and then you obviously also have great opportunities with the Anadarko gas. I'm just wondering if you could talk about potential future, just opportunities around where you can go with gas given your diverse portfolio.
Corey Code: Yes, absolutely. So, as we sit here today, we're a very large gas producer at B and a half a day. And the good news is we're seeing high prices across all our products, gas, NGL, and oil. In 2022, our allocation between the assets is not changing. So we're maintaining production year-over-year in each of the products. But we do have to your point, a huge inventory of very high return on gas. And we think that's going to be very valuable in the future. We're quite encouraged by the long-term gas fundamentals. It's a bit early to set any expectations for 2023, but really when we set that allocation, we'll be optimizing for what program maximizes our cash flow and our free cash flow generation. So, it's great to have that gas option within the portfolio.
Neal Dingmann: No, it's interesting to see. Thank you.
Corey Code: Thank you.
Operator: Your next question comes from Doug Leggate with Bank of America. Please go ahead.
Doug Leggate: Thanks. Good morning, everyone. Thanks for taking my questions.
Brendan McCracken: Good morning, Doug. 
Doug Leggate: So guys, I wonder if I could start with the sustaining capital question, like obviously the inflation, I think, you've probably been more, how can I say realistic or at least candid about what you're seeing in your in your numbers going forward. But I guess to pick up in the earlier question is this – should we think of this as a new level of sustaining capital, or would you expect some relief as you – or for that matter, some other additional changes as you look into 2023? And I guess my follow-up is related. Your exit rate in the second half of the year, the range suggests you're going to be in the $1.90 billion, it looks like what does that look like going into 2023? Does that roll over again, back into your $1.80 billion, $1.85 billion, or does it maintain at [indiscernible] level? I'm just trying to understand what's in the plan. I'll leave it there. Thanks.
Brendan McCracken: Yes, thanks Doug. Appreciate the question. First on the sustaining capital, I think, really what we're seeing is of course, it's going to depend a little bit on the commodity price environment and the activity level that we're seeing in 2023 and beyond as to set that sustaining capital. I think if prices stay where they are today, our 2022 capital guide is a good jumping off point for that sustaining capital in 2023. And obviously if prices pull back into the mid cycle range, then we would fully expect the sustaining capital would pull back down to that $1.5 billion level. So I think that's how we're thinking about it, Doug. And I think that's a good place to jump off of for 2023. On your question around production trajectory into next year, I think, really what we think about is if we wanted to be in maintenance mode again in 2023, we'd look to be flat year-over-year on production. So not necessarily hang on to that high exit rate, but really what we do is think about what the best capital allocation and return option is once we get there.
Doug Leggate: Okay. I appreciate the answers guys. Thank you.
Brendan McCracken: Yes, thank you.
Operator: Your next question comes from Jeanine Wai with Barclays. Please go ahead.
Jeanine Wai: Hi. Good morning, everyone. Thanks for taking our questions.
Brendan McCracken: Yes.
Jeanine Wai: Our first question – good morning. Our first question is on cash returns. One of our favorite subjects. You are increasing to the 50% payout in October, which is great. And at least on our numbers there's definitely upsides from there if you choose. You're already calling the 2024 notes early, your next maturity isn't until 2026 and you're building a lot of cash in the meantime. So can you just discuss the parameters for how you decide and what the appropriate percent payout is every quarter?
Brendan McCracken: Yes Jeanine, yes, thanks for the question. I think we like your perspective, because you are stacking upsides on top of upsides. I mean, if you look at the trajectory, overall, we're set to double that cash return from $25 million to $50 million, but really if you think about it in the first quarter, we returned $123 million, and that's going to kind of quadruple or quintuple as we look out into the fourth quarter. So actually the rate of change on cash return is really high, probably accelerating as fast as anybody into a yield that would be leading in the peer group and obviously leading across the broader market. So we like that trajectory. I think on the sort of process for deciding where to land out on that cash return, what we've steered the market to today is we're going to start at the 50, Corey mentioned this in his prepared remarks. We do want to see debt come down below the $3 billion. But obviously we have the opportunity and the flexibility within the framework to go higher than that $50 million with time. But we're not making that that commitment today.
Jeanine Wai: Okay, great. Thank you. Our second question is maybe we can hit on scale a little bit. The 25% of the 2022 CapEx increase that's due to maintaining the high-spec rigs in the preferred frac crews, eliminating the white space in the program essentially. Ovintiv clearly has scale from an overall company perspective, but what you see in the current operating environment, does that make you rethink or just think differently about scale in each of your basins? Thank you.
Corey Code: Yes, thanks Jeanine. No, I think – and we've talked about this before. I think there is a minimum level of scale to be able to do what we do. But a lot of it is what I kind of call sophistication. So once you've hit that minimum level of scale, where you can be in large pad developments, drill long laterals and simul-frac, and use wet sand and those types of real key differentiators that we're able to do that a number of our peers aren't able to do. Once you've hit that level of scale, it really comes down to a sophistication piece. And that's why you hear us talk a lot about focusing on this culture of innovation to be able to constantly drive new and creative ways to either lower costs or add to the type curves that we're producing. So, I think we're comfortable with the scale that we've got both as a company and across each of the basins.
Operator: Your next question comes from Nitin Kumar with Wells Fargo. Please go ahead.
Nitin Kumar: Hi, good morning. And thanks for taking our questions. I want to pick up on a thread that Neil was talking about. You have a lot of optionality within your portfolio around commodity. Could you talk a little bit about whether there are opportunities for Ovintiv to participate in the U.S. LNG market given the hundred percent transportation to the Gulf Coast? And maybe some thoughts around the Canadian LNG market. We are seeing a lot of strength in LNG prices, I want to see if you can participate.
Brendan McCracken: Yes, I appreciate the question. And this is a space that we're doing a lot of work in today. Our strategy for a long-time with our gas production has been to get price diversification, and you can see that today with over 80% of our Permian gas priced outside of Waha and about 50% of our Canadian gas priced outside of AECO. And so today we are considering options for getting that pricing exposure to LNG as part of that strategy. I would tell you probably the one thing that we would rule out would be an equity interest in LNG project, but certainly looking at some of the evolving commercial opportunities and to your point that could be on the West Coast of Canada or off the U.S. Gulf Coast or a combination of both, and so that is something we're actively looking at today.
Nitin Kumar: Great, great, I appreciate the answer. And I guess maybe just to touch on cash returns as well, I assume at current levels the buyback is probably the focus, but I did notice in your slides you talked about a variable dividend. Could you talk about the thought process around how the cash return might evolve in terms of the balance between buybacks and variable dividends?
Brendan McCracken: Yes, absolutely. So we believe like all capital allocation decisions it has to be driven by returns and value. And so the Board looks at this every quarter and really we're still using the same four criteria that we talked about from the outset. So we want to look at how the equities trading today versus our view of intrinsic at mid-cycle pricing. We take a look at relative valuation. We study what our free cash flow yield is implying, and then finally we look at the macro to see where we're trading relative to mid-cycle on just commodity prices. And so today we obviously have very high commodity prices, but we still see our equity valuation is well below intrinsic at mid-cycle. And so we – today we continue to see the best way to return cash is with a combination of our base dividend and buybacks. But again, under the allocation framework we'll make the most value accretive decision as we go quarter-by-quarter and we think that flexibility is valuable over time.
Operator: Your next question comes from Arun Jayaram with JPMorgan. Please go ahead.
Arun Jayaram: Yes. Good morning, Brendan. I wanted to talk a little bit about the full year CapEx number. Your updated guide calls for about a $1 billion little less that that of CapEx in the first half or roughly a $500 million per quarter run rate, and you down shift to 3.75 per quarter in the second half. I know you're running a more level loaded program with four-frat crews. So just trying to understand the CapEx trajectory in the second half, it sounds like working interest is maybe a driver, but help us get comfortable with that second half downshift in CapEx?
Brendan McCracken: Yes. So Arun, the activity level on a gross-basis is essentially unchanged through the year and really it's just that working interest effect. And the largest driver of that is the lower activity in the BC side of the Montney in the front half of the year. And we're now receiving permits for that BC Montney area and so we're well positioned to be back into that area in the second half of the year, which we had signaled the last call. So that's now happening and moving ahead. So that's really the factor that's driving that, Arun.
Arun Jayaram: Great, great. And just maybe a follow-up on the OFS contracting kind of strategy. Last quarter you'd message that you'd locked in Brendan a 100% of your frac and you'd contracted your OCTG supply and some of your service capacity for D&C. Have you shifted any of the contracting in terms of pricing? Before it sounds like you're contracted on the frac side, but maybe not so on steel and other services. But give – maybe give us an update on how that contracting strategy is evolving, given this tight services environment?
Brendan McCracken: Yes. Arun, you've got it nailed there. So we had priced in a lot of our D&C activity particularly on the frac side and a portion of our pipe for the year. We had secured all of our pipe for the year, but some of it – we had left un-priced and OCTG, if you remember back in February was actually trending down. And of course the events that have unfolded since then have flipped that over. So we're certainly glad we locked in as much as we did on pricing. However clearly that still leaves some exposure to increased prices on the fuel and labor and steel side, and that's what we've reflected in the updated guide. So we are continuing to lock in prices through the year to make sure we've got the certainty we need and that's really what you see reflected in the updated capital today.
Operator: Your next question comes from Menno Hulshof with TD. Please go ahead.
Menno Hulshof: Good morning, everyone.
Brendan McCracken: Good morning.
Menno Hulshof: Just have one question on hedging. One of a fairly short list of companies that have put on new oil hedges for the first half of 2023, and if we look across the industry, we've actually seen a few companies suspend their hedging programs entirely. So my question is what can we expect the hedging strategy to look like beyond the middle of next year and why hedge it all with the balance sheet back in good shape and potentially no growth into 2023?
Brendan McCracken: Yes. Menno, thanks for the question. And this is – this is a key piece for us because we've significantly adjusted the hedging practice going forward as of the latest announcement. And so really our strategy here is we want to be able to protect the business from an environment of very low prices, which unfortunately is still a real possibility over time in the commodity business that we're in. And so really what we're doing is we're making sure that in a period of low prices, we can maintain scale in the business and be free cash flow neutral or better after the base dividend. And we think that's a prudent approach to managing risk with our hedge book. And so what that's translating through is a hedge book, that's something like 20% to 25% of production. And today using three ways that give us a lot of upside price exposure and so to your question about why hedge at all? We like the trade of having that protection in place in the event that something happens, but also making sure that we've got quite a lot of upside. So for example, if you look at the position for Q1 and Q2 of next year, oil participation up over $110 barrel and gas up over $7 an M. So we think that's a good trade off in terms of managing that commodity price risk.
Operator: Your next question comes from Jeoffrey Lambujon with Tudor, Pickering, Holt. Please go ahead.
Jeoffrey Lambujon: Good morning and thanks for taking my questions. My first one was just a follow-up or a few follow ups to the discussion on returns and free cash flow allocation overall. It looks to us that just given your debt maturity window and how you'll be able to drop to sub $3 billion in debt by the end of Q3 that you can easily continue to strengthen the balance sheet towards the $2 billion level by the end of next year at strip, if you wanted to, even while still returning in excess of $2.5 billion of cash as shareholders on our numbers. So I guess first is that a reasonable way to think about what 2023 could look like at strip? And then second does somewhere near that $2 billion level in debt make sense, just looking at leverage metrics under mid-cycle pricing? And then lastly, once you get there absent M&A could we see the vast majority of free cash move towards shareholder returns?
Brendan McCracken: Yes. Jeoff, appreciate the numbers there. Yes. I mean, absolutely directionally you've got it nailed I think the way I characterized it was well over $2 billion of shareholder cash return next year on today's prices. So I think that was consistent with your 2.5 number. So really on the where we headed on the debt, we believe that continuing to reduce debt is important to create resilience and we think that's going to have a lot of value going forward. So maybe I'll just ask Corey to comment on that trajectory.
Corey Code: Yes, Brendan, I think when we look at the overall capital structure, it's important to remember when you're this far above mid-cycle prices putting some away and improving that credit rating's important. So right now we sit at, what we call low-BBB. Ideally we'd be in a mid-BBB space, which you can debate whether that's $2 billion or a little bit less than that, but somewhere in that direction probably gets us closer to mid-BBB as an ideal capital structure.
Brendan McCracken: And then Jeoff, maybe the last thing I think was your question on where does the percent of free cash flow trend to with time? And I think what you see across the sector here is that as companies have reduced their debt down to an optimal level, that that cash return starts to inflect upwards, and so I think that's a pattern that makes sense for us as well.
Jeoffrey Lambujon: Perfect. Thanks. And then my second one is just on portfolio rationalization. Just wanted an update on how you view the opportunity at this point to sell down assets like the Uintah and how you think about utilizing proceeds for any investments, if they'd be utilized towards bolt-on, if you can talk about how you'd approach those opportunities if at all or if they could be earmarked to further accelerate the buyback program?
Brendan McCracken: Yes. Maybe just, I'll start with the bolt-on piece and then come to your question on the A&D market overall. I think we just think it's good business to just be continuously looking in the market for value creative bolt-on opportunities and you can see us making quite a bit of progress, even though it is a more challenging environment from a bid-ask spread in today's market. So we're committed to staying disciplined on this. We evaluate the deals through our mid-cycle lens and we're comfortable today with our over 10 years of premium inventory, but we like the ability to be just adding to that and extending that as we go just on progress there, we've added something like 140 net locations since we started towards the end of last year for very low amount of capital. And by the way about half of those is in the Permian. So we kind of like the progress that we're making chipping away there. I think on your broader A&D question, clearly this is a seller's market. Prices are very strong and expectations are high from sellers. So we look at the whole portfolio all the time to try and figure out what's the best way to get more value out of it. And, and how do we translate through to shareholder value? So nothing specific to point to there, but something we're always scanning for?
Operator: Your next question comes from Nicholas Pope with Seaport Research. Please go ahead.
Nicholas Pope: Good morning, everyone
Brendan McCracken: Good morning.
Nicholas Pope: I was hoping you guys could talk a little bit about the market optimization piece and kind of where that flows through for the company. It looks like you guys had a really strong kind of realized pricing number for the quarter, and obviously it's a big charge. You guys have a big marketing organization. So just kind of, maybe you could talk through a little bit about where that – where the benefit of that kind of shows up elsewhere on the kind of the income statement realized pricing or is that – or is it more just seasonality? Why the pricing was so strong for the quarter?
Brendan McCracken: Yes. I'll just ask Corey to take that one on Nick. Thanks.
Corey Code: Hey Nick. Yes, first the market optimization segment that's got a few different pieces in there. So if there's any commitments that we have or obligations that don't relate to operating assets, things like our ex-contract kind of roll through there as well as that's where the buying and selling around different sales points show up. So when the marketing team optimizes the revenue buying and selling within basins that's kind of where it shows up. So margin enhancement will appear there as well as some of our legacy costs, which we've talked about things like racks rolling off May 2024. So combination of those two show up in that that segment.
Nicholas Pope: Got it. That's helpful. And just switching gears a little bit when you look at the Anadarko asset right now, it seems like the first quarter was a little weak and trying to understand you kind of talked about weather and kind of operational delays. I was curious how much of that kind of was in the Anadarko? And I guess what the longer term goal is right now with that asset kind of going?
Brendan McCracken: I mean, yes, thanks Nick. Yes. And you mean really in the Anadarko the story there is the 60/40 piece that we talked about overall in the portfolio where 60% of our turn-in lines are going to come in the second half of the year. So you're going to see some of that show up there and strengthen production through the back half of the year. But really across the portfolio we're broadly flat year-over-year in each of the assets. There's a little bit of shape in the Bakken and the Montney because of deferring some of that first half 2022 activity in the BC side of the Montney and putting that into the Bakken. But outside of that in this maintenance mode we're largely maintaining scale in each of the assets.
Operator: There are no further questions at this time. Please proceed.
Brendan McCracken: Thank you everyone for joining us today. This call is now complete
Operator: Ladies and gentlemen this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.